Operator: Good morning and welcome to The Children’s Place First Quarter 2021 Earnings Conference Call. On the call today are Jane Elfers, President and Chief Executive Officer and Rob Helm, Chief Financial Officer. The Children’s Place issued its first quarter 2021 earnings press release earlier this morning. A copy of the release and presentation materials for today’s call, have been posted to the Investor Relations section of the company’s website. This call is being recorded. If you object to our recording of this call, please disconnect at this time. [Operator Instructions] Before we begin, I would like to remind participants that any forward-looking statements made today are subject to the Safe Harbor statements found in this morning’s press release as well as in the company’s SEC filings, including the Risk Factors section of the company’s Annual Report on Form 10-K for its most recent fiscal year. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially. The company undertakes no obligation to publicly release any revisions to these forward-looking statements to reflect events or circumstances after the date hereof. After the prepared remarks, we will open the call up for your questions. We ask that each of you limit yourself to one question, so that everyone will have an opportunity. It is now my pleasure to turn the floor over to Jane Elfers.
Jane Elfers: Thank you and good morning, everyone. Following the March 11 Presidential address, which confirmed immediate stimulus payments, announced an accelerated vaccination timeline, and promised the country an earlier than anticipated return to normal, we experienced a significant and sustained sales lift. We delivered outstanding first quarter results, with gross margin, operating margin and EPS all at record levels. Our Q1 ‘21 net sales of $435 million exceeded our Q1 ‘19 net sales of $412 million, despite having 261 or 27% fewer stores versus Q1 ‘19 and historically low demand for Easter dress-up product and a 15% reduction in mall operating hours versus 2019. All key metrics across both our digital and stores channels exceeded expectations. Our exceptional sales growth was driven by several factors, including double-digit increases in AUR versus Q1 2020, resulting from strong product acceptance, higher-priced realization, reduced promotional activity and unprecedented stimulus as well as an acceleration in back-to-school sales, our ability to retain new digital customers we acquired during the pandemic, and a significant reactivation of store customers that we had temporarily lost due to the government-mandated closure of all of our stores. Our record Q1 2021 gross margin was driven by significantly higher merchandise margins in both our digital and stores channels, significant occupancy savings from favorable lease negotiations and fewer stores as compared to Q1 2020 and meaningful e-commerce fulfillment optimization. Focusing on digital. Consolidated digital sales increased 37% in Q1 versus 2020, representing 42% of total sales. Digital sales increased 35% in the U.S. and 82% in Canada driven by a double-digit increase in traffic partly as a result of our ability to retain new customers acquired during the pandemic. Our digital business has always been our highest operating margin contributor due to its high UPT, low return rates and lower overhead costs versus our stores channel. And with the pandemic driven acceleration to a steady state annual digital revenue of approximately 50%, we are now gaining additional leverage on fixed overhead costs and driving higher digital operating margins. In addition, we continue to plan for reductions in our per order e-commerce fulfillment costs in 2021 due to a number of packaging and network optimization efforts, combined with the ability of our third-party fulfillment partner to service higher levels of demand in 2021, which should virtually eliminate the amount of supplemental ship from store required. With respect to our stores, it’s important to note that our Q1 ‘21 store net sales of $231 million represent 85% of our Q1 ‘19 store net sales, despite having 261 or 27% fewer stores in Q1 ‘21 versus Q1 ‘19. U.S. store sales exceeded expectations driven by strong product acceptance, double-digit AUR increases and higher ADS. Similar to what we saw in Q4, traffic levels remained under pressure, down 36% versus 2019 levels. Our outsized store performance, bolstered by our strong transfer rate, further reinforces our strategic fleet optimization strategy. Merchandise margins were up significantly in our stores channel driven by higher AURs due to strong product acceptance and reduced promotions. Importantly, we were also pleased to see existing customers return to our stores in significant numbers from the limited shopping options available to them last spring due to the government-mandated closure of the vast majority of brick-and-mortar retailers. Canada’s store sales were down 43%, with traffic down 69% due to the continued impact of government-mandated COVID-19 temporary closures impacting approximately 50% of our Canadian fleet during the quarter. With respect to our fleet optimization initiative, we closed 25 stores during Q1 and we plan to close 98 more stores in full year ‘21, bringing our total 2-year store closures to our previously announced target of 300 stores. As we covered extensively in our Q4 remarks, birth rates have been down-trending for years and are not expected to rebound until at least the end of this decade. As I am sure you all saw earlier this month, the 2020 birth rate data was released and as we anticipated, births for 2020 were down dramatically to the lowest level since 1979 at just 3.61 million births. The data also reveals an 8% decline in births in the month of December, the biggest drop for the month of December since 1964. Those December babies were conceived before the pandemic started to accelerate and experts predict that birth rates will fall even further in 2021. It’s important to note that less than 5% of our revenue comes from newborns, aged 0 to 2. So we have multiple opportunities and ample time to offset the sustained birth rate drops. As we indicated on our Q4 call, we recognized a long time ago that U.S. birth rates were not going to be a tailwind. So, our strategic focus has been on taking market share for the better part of the last decade. Our purchase of Gymboree gives us a sizable market share opportunity in our under-penetrated toddler space that more than makes up for the anticipated sales drop from sustained birth rate declines over the next decade. The big kid destination strategy that we put in place almost a decade ago continues to secure a leadership position in the big kids space. We believed correctly that the big kids space was overcrowded with too many retailers vying for a declining sales base without a positive catalyst with respect to birth rates. The big kids competitive playing field has narrowed significantly in the last few years, which aligns with our well-documented strategy of trading short-term margin pain for long-term margin gain. It’s important to note that among the kids retailers, who declared bankruptcy and liquidated thousands of stores in the last few years, Justice and Crazy 8 did not carry any newborn size 0 to 2 product. And Gymboree was almost completely out of their unprofitable newborn business at the time of their second bankruptcy. My point is none of the large children’s retailers had newborn market share to cede, because their mall-based businesses like ours were targeted to the 4-year-old and up age range making TCP a natural market share beneficiary of these large liquidations. With respect to current business, Q2 is off to a strong start. We are not providing EPS guidance due to the uncertainty and volatility surrounding the pandemic, particularly as it pertains to the return to 100% in-person learning. As you may know, July is our biggest month in Q2. And within July, the majority of sales are concentrated into the last 2 weeks of the month with the start of back-to-school shopping. We believe that if the vast majority of elementary schools returned to 100% in-person learning this fall, we will be an outsized beneficiary. In addition, we believe the expanded child tax credit benefits outlined in the American Rescue Plan, which include a monthly payment to approximately 39 million families covering 88% of all the children in the United States should provide an additional tailwind for our business, just-in-time for our key back-to-school selling season. These payments are scheduled to begin on July 15 and provide for monthly checks of $300 for each child under age 6 and $250 for each child between 6 and 17 years old. Looking ahead, Q4 also presents an opportunity for TCP to regain our historical leadership positions in the dress-up category, assuming the vaccine rollout is successful and social distancing mandates continue to be removed leading up to the holidays. We leveraged a very difficult period in 2020 to accelerate our strategic transformation and we believe we are now well-positioned to deliver accelerated operating margin expansion in 2021 and beyond. The acceleration of our digital business, our highest operating margin channel made possible by our pre-pandemic digital transformation investments combined with the significant sales transfer rate we are achieving from our strategic decision to close 300 or a third of our stores in less than 20 months is resulting in an industry leading approximately 50% steady state annual digital penetration. Our longstanding fleet optimization strategy enables us to close the 300 stores without financial penalty and reset our occupancy costs. These occupancy cost reductions should continue to be a significant operating margin tailwind throughout 2021 and beyond. In addition, by aligning our overhead cost structure in 2020 to our digital first strategy, we have gained efficiencies and removed significant expense from our P&L. These efficiencies will continue to benefit us in 2021 and beyond. We anticipate further operational efficiencies and sales opportunities when social distancing and other restrictions, such as limits on hours of operation are further removed and we are able to return to normal operations in both our stores and distribution centers. We continue to navigate the extraordinary complexity of the pandemic, while remaining firmly on offense. Our longstanding strategic plan has served us well. We are a stronger company today than we were prior to the pandemic and we look forward to continuing to deliver accelerated operating margin expansion for our shareholders in 2021 and beyond. Now, I will turn it over to Rob.
Rob Helm: Thank you, Jane and good morning everyone. I will review the Q1 results and then I will provide some thoughts on Q2 and the balance of 2021. In the fiscal first quarter, we delivered a record adjusted EPS of $3.25. Net sales increased by $180 million or 71% to $435 million versus last year’s $255 million. Our U.S. net sales increased by $160 million or 71% to $384 million versus last year’s $224 million, while our Canadian net sales increased by $13 million or 76% to $30 million versus last year’s $17 million. Comparable retail sales were a positive 83% versus Q1 2020. As an additional point of reference, comparable retail sales were a positive 21.5% versus Q1 2019. Our net sales were positively impacted by several factors during the quarter. First, the significant majority of our U.S. stores were open for the entire quarter this year versus the temporary closures we experienced for approximately 50% of the quarter last year as a result of mandated government shutdowns; second, strong customer response to our casual product assortment; and third, the unprecedented level of stimulus payments resulting from the government pandemic relief legislation announced in mid-March. These factors, along with favorable weather and an easing of COVID related restrictions, resulted in consolidated net sales increases in both March and April of over 100% versus the prior year. These positive factors resulted in better-than-expected performance across all of our key retail metrics. Our Q1 net sales were negatively impacted by the impact of our 199 permanent store closures in the past 12 months, inclusive of 25 stores we closed during this quarter, and the 178 stores we closed during fiscal 2020. The impact of the government mandated temporary closures in Canada, with approximately 50% of our fleet closed for more than half of the quarter and the impact of an approximately 15% reduction in mall operating hours as mandated by our mall landlords. Adjusted gross margin, adjusted gross margin increased 2,571 basis points to 43.4% of net sales, a record Q1 gross margin. The gross margin increase was the result of one, the leverage of fixed expenses resulting from the increase in net sales as a result of anniversarying the temporary closure of our entire fleet in Q1 2020. Two, significantly higher merchandise margins in both our digital and stores channel, resulting from a double-digit AUR increase due to strong customer product acceptance, leading to higher price realization and reduced promotions. And three, a reduction of $21 million in occupancy expenses during the quarter due to rent abatements of $8 million, with the balance of the decrease coming from favorable lease negotiations and reductions in occupancy expenses for stores closed in the past 12 months. We anticipate occupancy savings for the balance of the year. These gross margin benefits were partially offset by higher inbound freight transportation costs driven by ocean carrier equipment shortages and higher container rates. Adjusted SG&A, adjusted SG&A was approximately $104 million versus $92 million last year and leveraged 1,231 basis points to 23.9% of net sales. The 1,231 basis point leverage was a result of the leverage on the higher net sales and cost savings resulting from the significant store closures in Canada for the majority of the quarter, partially offset by higher incentive compensation accruals. Adjusted operating income, adjusted operating income for the quarter increased $136 million to $71 million or 16.2% of sales, a record result versus an adjusted operating loss of $65 million last year and leveraged 4,168 basis points. Interest expense, our interest expense for the quarter was $4 million versus $2 million last year. The increase in interest expense reflects a higher debt balance and the higher interest rate associated with our term loan. Tax rate, our adjusted tax rate was 27%, in part due to the anticipated higher incentive compensation accruals in the current year. Moving on to the balance sheet, our cash and short-term investments ended the quarter at $65 million. We ended the quarter with $197 million outstanding on our revolving credit facility. During the quarter, we extended our existing accordion feature of $35 million for 1 year, maintaining $360 million of total availability under our revolving credit facility. We ended the quarter with total inventory up 24% versus last year. It is important to note that our Q1 2020 inventory included a provision of approximately $63 million last year. If you remove the impact of the inventory provision, our inventory increased 5% versus last year. The entirety of this increase in inventory versus last year continues to be comprised of the back-to-school basics we have been carrying since last June. Our seasonal carryover inventories are down approximately 49%. Moving on to cash flow and liquidity, we used approximately $17 million in cash from operations in Q1 due to the repayment of certain suspended 2020 rents, net of abatements, as well as other planned changes in working capital, which brought our vendor payables back in line with historical levels. It is also important to note that we historically experienced negative cash flows in the first half of the year, as the result of the seasonality of our business. We remain confident that between our cash on hand, cash from operations and credit facility, we have the necessary liquidity to support our operations. Capital expenditures in Q1 were approximately $7 million. Now, I will provide an update on our store activity in the quarter, along with planned actions we are taking to continue to accelerate our fleet optimization initiative. During the first quarter, we completed the balance of lease agreements on our 2020 occupancy negotiations with our key go forward landlords. We recognized the rent abatement of $8 million in Q1, bringing the total abatements on the account of 2020 to $21 million to-date. We expect to recognize the remaining portion of our 2020 abatements in Q2, which will be meaningfully lower than Q1. We also realized significant occupancy savings from favorable lease negotiations on our go-forward store portfolio and from the 199 store closures in the past 12 months, inclusive of the 25 stores we permanently closed in the quarter. We ended the quarter with 724 stores and total square footage of $3.4 million, a decrease of 20% compared to Q1 last year. We are planning to close an additional 98 stores by the end of fiscal 2021, which will bring our total store closures to our previously announced target of 300 stores. While we are not providing EPS guidance due to the continued uncertainty and volatility caused by the pandemic, we wanted to provide you with some thoughts regarding Q2 and full year 2021. Starting with Q2 net sales, as Jane mentioned, we are off to a strong start for the quarter. With respect to the channel level sales, we would like to remind you that we experienced unprecedented levels of e-commerce demand last year as we leverage our omni-channel capabilities to fulfill orders from our temporarily closed stores. E-commerce represented over 70% of our sales in Q2 last year, but approximately half of those sales were filled from stores inventory. We anticipate that our e-commerce sales will be lower in Q2 this year versus Q2 last year. We also anticipate store sales will be significantly higher in Q2 as we anniversary the shutdown of our entire store fleet for approximately 50% of the quarter last year. Lastly, we are planning for lower sales in our Canadian stores business. Given the ongoing government mandated lockdowns that have been in place since the beginning of March and are scheduled to be in place until sometime in June, impacting approximately half of our Canadian fleet. We expect that gross margin, Q2 gross margin will moderate from Q1 levels as a result of several factors, including the deleverage of our fixed expenses on the lower net sales, the larger Q1 abatement and the higher inbound transportation costs due to continued supply chain disruption. SG&A is planned to be in the range of $110 million, which is higher than Q1 due to the anticipated reopening of the temporarily closed stores in Canada as well as the expected easing of the landlord reductions in store operating hours and higher than Q2 last year due to the anniversarying of the COVID-19 closures as well as higher incentive compensation accruals. Moving on to the balance of 2021, for the second half of the year, we expect store sales to be flat to 2020 levels as increased store productivity, should offset the impact of our permanent store closures over the previous 12 months. We are planning to close an additional 98 stores during fiscal 2021 to achieve our accelerated store closure target of 300 stores and expect approximately 75% of our total revenues to be generated outside of traditional malls in fiscal 2022. We anticipate digital sales will represent approximately 50% of total sales, which puts our steady-state annual digital revenue penetration significantly ahead of our competition, supported by our digital investments, strong transfer rate and fleet optimization initiatives. We anticipate increased costs for inbound freight will continue to impact our business. Raw material input costs are also rising. We have been able to successfully mitigate these increased costs to-date with our 2021 AUC projected to be down low-single digits through our holiday placements. We are planning to return to positive operating cash flows for fiscal year 2021. However, we expect operating cash flow generation to be slightly lower than historical levels for the first half of the year due to the repayment of the suspended 2020 rents net of abatements as well as other changes in working capital. As a reminder, we are planning to receive a tax refund in the range of $40 million as part of the benefits provided under the CARES Act. I have mentioned on our prior calls that our term loan provides us with the opportunity to use a significant portion of this refund to pay down the term loan without penalty. We are planning for capital expenditures in the range of $50 million for the year 2021, with the large majority allocated to digital and supply chain fulfillment initiatives. Lastly, based on our current liquidity position and assuming a normalized back-to-school selling seasons, we plan to resume our capital return program in the third quarter of 2021. As a reminder, we currently have $91 million remaining of our $250 million authorization. At this point, we will open the call to your questions.
Operator: [Operator Instructions] Our first question comes from the line of Dana Telsey of Telsey Advisory Group.
Dana Telsey: Good morning everyone and congratulation on the very nice progress.
Jane Elfers: Thanks Dana.
Dana Telsey: And all the investments you have made in the year are coming to fruition now in these results.
Jane Elfers: Thank you.
Dana Telsey: The benefit that you saw from stimulus and now frankly, we have the upcoming child tax credits that are going to – should be a benefit through the rest of the year also. How are you looking at that, whether it’s in product? How are you thinking about it in terms of the ability to generate full price sell-through and digital?
Jane Elfers: Well, I think from a stimulus point of view, obviously, stimulus benefited everyone in the quarter. I think as we mentioned, both Rob and I, May is off to a very strong start. Stimulus over time will obviously be temporary. I think fundamentals are what is lasting, and we have been working at this for a long time. I think when you look at the results we had in Q1 and where we see the balance of the year, I think that comes from the hard strategic work and the structural work we have done with respect to occupancy, fleet optimization, SG&A, the digital penetration now at a steady state, 50% annual. All the work we have done in the last year on fulfillment costs. The competitive landscape is completely different now than it was a few years ago, what we have done in supply chain and then, of course, consistent product offering. We have fundamentally transformed the company. And really, as I said in my prepared remarks, leverage 2020, a really difficult period to really set ourselves up for expanded operating margin. I think when you look at what we talked about with back-to-school, we have got all states except 9 right now, reporting that they are going back to 100% learning. So, barring any reversal or recurrence of COVID or another setback, clearly, those child tax credit benefits starting in July and going through December at a minimum, I know they are talking about extending them, but right now, July to December, clearly, that will be a very large tailwind for us and back-to-school with kids not being in school for the last 2 years since they have been in school and you add in the child tax credit and you add in the fact that we have got our inventory. I know a lot of people are having trouble getting their inventory in, but our back-to-school inventory is in place, it really sets up quite nicely for an exciting back-to-school. So, I think that’s how I would answer that question. Thanks.
Operator: Our next question comes from the line of Jim Chartier of Monness, Crespi, Hardt & Company.
Jim Chartier: Hi, good morning. Thanks for taking my question. I just want to talk about the margin opportunity going forward. One, you talked about occupancy savings this year. Do those continue beyond this year? And then as you think about the structural changes that you have made, the lower distribution costs, lower occupancy costs, improved SG&A cost structure. It seems like your historical operating margin of 7% or 8% could be too conservative. Can you just talk about where that margin should be longer term? Thanks.
Jane Elfers: Yes. Thanks, Jim. I am going to start off on the occupancy one, and then I will turn it over to Rob to talk about operating margin. With respect to occupancy, I think it’s really important for everyone to understand what actually transpired in 2020 that was different than in previous years. So, I would say in April of 2020, when I saw what was possible with respect to the power of our digital business and how much revenue we were generating with all of our stores closed, I made two important decisions. First, I made the decision to fully support the digital pivot by dramatically accelerating our store closure program, which well documented, targeted 300 permanent store closures in 20 months. And second, and as importantly, if not more importantly, I made the decision to leverage all the previous good work that had been done on flexible lease terms to reset the occupancy cost structure for the company. So Rob and I partnered on this. I guess, Rob, starting in Q2 of last year and the two of us have spent an enormous amount of time, strategizing and negotiating. We have over 200 landlords, as we’ve mentioned before, and the amount of time we’ve spent with them on the significant number of lease actions that were available to us. Rob mentioned in his prepared remarks that we’re still finalizing the last of our 2020 lease negotiations through Q2 of this year with the abatements he spoke about. So Rob and I accomplished what we set out to do, which was to target, plan and execute 300 permanent store closures and really leverage the flexibility of our lease term to reset our occupancy cost structure going forward for 2021 and beyond. And that really was as a result of partnering and making the decision to move forward collaboratively with the right landlords and part ways with the rest. And we anticipate that this occupancy work is going to be a significant contributor to our plan for accelerated operating margin expansion and well worth the time and effort, the two of us have put into it over the last year. Recognizing at the same time, we were navigating and leading the company through a pandemic. So with that, I’ll turn it over to Rob.
Rob Helm: Jim, from an operating margin perspective, it’s a little bit of a long-winded answer because I have to go back a few years, just to give a little more detail on the trajectory of this business. But back in 2016 and ‘17, we had operating margins in the range, I believe it was 8.5% and 9.6% at that time. And we saw that our transformation strategy was really starting to gain hold and lock in at that time, we made the decision to accelerate $50 million of investments to accelerate – further accelerate our digital penetration of our business and our digital business overall. And clearly, with the pandemic and what happened last year and leveraging some of those abilities in terms of ship-from-store and the things that we did to move the needle overnight to a steady state of 50% digital penetration annually that was the right call. Also, the other piece that we have to call out is from – in 2018, 2019, we made the very visible decision to go after market share and take short-term margin pain for long-term margin gain, which negatively impacted both the gross margin line and our operating margin line. With the shrinking market in terms of less births and a smaller kids market overall, clearly, that was the right decision as well, and it’s positioned us to come out of this pandemic to gain that fragmented market share.  So now with the accelerated investment behind us, and less competition and a considerably less cleared out competitive landscape, we’ve seized the opportunity to shift to digital to a steady state 50%. And with our work that we’ve done in the last year that Jane mentioned in terms of resetting our cost structure in terms of being digital-first from an SG&A footprint with less store expenses and less upper field and overhead and resetting our occupancy expenses, we’re now set for a resumption of that upward trajectory that we saw prior to 2018 in terms of operating margin.
Operator: Our next question comes from the line of Jay Sole of UBS.
Jay Sole: Great. Thanks so much for taking my question. So I want to follow-up on what you just said. You’re basically saying that if you look at the 8.5% and 9.5% margins that you did a couple of years ago, the differences today are, one, there is a bigger e-com mix, which is a better margin business. You’ve got lower rent in the remaining stores business. There is less competition, which is allowing you to raise AUR versus that time and there is lower overhead within the cost structure. And so – but I wasn’t sure I understood the conclusion, which is that you think the margins – the EBIT margins can be better than it was in the past or you say it’s going to be the same as it was in the past and maybe if you could first clarify that? And then the second thing is Gymboree. Can you us give us an idea on where the launch stands right now? Like what impact do you think you can have on sales and back to school? And just where the – give us an update on Gymboree that would be helpful. Thank you.
Jane Elfers: Sure. Thanks, Jay. As far as Gymboree is concerned, we’ve talked about it a lot. We launched into a pandemic that business is highly dependent on events and holidays and occasions. Clearly, Easter was not a good – Q1 was not good for Gymboree from an Easter perspective. We feel very strongly in Gymboree. We feel very good about the customer response we’ve got, and we’ve spoken about it being north of $140 million opportunity we feel we have not changed our mind on that. We feel that it is north of $140 million opportunity. The same as we expect for TCP with the return to school and the return to occasions and the relaxing of social distancing. We expect Gymboree to have a strong back half, and we’re planning it that way, particularly as you get into the holiday period. I’ll turn it over to Rob for operating margin. I’m not sure he is going to bite on that one, but Rob?
Rob Helm: In terms of operating margin, we haven’t given guidance, right? So I’m not going to give actual numbers relative to operating margin. My comments really are to clarify that we’ve made the structural changes, and we’re past our investments and have considerably cleared out competitive landscape. The operating margin is obviously contingent on sales levels returning, supply chain disruption and cost inflation, all those other factors that are macro factors that impact us in this environment. But we – the bottom line conclusion is we’ve made changes to reset our occupancy structure. We’ve reset our SG&A structure to be digital first. And we’ve set ourselves with e-commerce packaging and network optimization, where we should be able to drive operating margin expansion again in the future.
Operator: Our next question comes from the line of Paul Lejuez of Citi.
Unidentified Analyst: Hi, this is Kelly on for Paul. Thanks for taking my question. Just on the question on the gross margin, was there any benefit from any one-time inventory reserves in 1Q ‘21? And how do we think about the merchandise margin going forward? And then just second question as it relates to gross margin, thanks for the color on the occupancy line, but any chance you could provide any color on how much occupancy is down relative to 2019? And just how we should be thinking about that going forward? And then just lastly, just on SG&A, should we be using that 2Q guidance as sort of a proxy for SG&A for the remainder of this year as in being down kind of 5% versus 2019 levels? Thank you.
Rob Helm: Thanks, Kelly. And I’ll unpack each of those one at a time. From a gross margin perspective, there were no one-time items within gross margin, no inventory reserve releases. Just the one-time abatement of $8 million, which contributed roughly 200 basis points of additional gross margin. We expect, obviously, a slightly less meaningful abatement in Q2, but the rest of it is merchandise margin net of delivery expenses for e-com, etcetera. The next piece of your question relative to SG&A, SG&A, we had an SG&A of roughly $104 million. We expect that to rise slightly to $110 million for the second quarter. We haven’t provided longer term guidance than that at this point. But we expect that’s a probably a pretty fair base to consider going forward considering the fact that we expect store hours to resume for our major mall landlords and eventually Canada to reopen completely and to be able to incur those store expenses. And then the last piece of your question, I think I missed the piece in between on occupancy expenses. Occupancy expenses were $21 million lower in the quarter than last year. $8 million of that was the one-time abatement. The remaining $13 million represents the impact of the permanent closures and our favorable lease negotiations. When you think about that relative to 2019, inclusive of the store closures since that time, occupancy expenses were roughly $25 million lower.
Operator: Our next question comes from the line of Susan Anderson of B. Riley.
Susan Anderson: Hi, good morning. Nice job on the quarter. Jane, I was wondering maybe if you could talk about the dressy product over Easter. Did you see the consumer returning at all to that type of product? I think you have less in store, though. And then just in terms of the boost that you mentioned as schools kind of reopen this spring and first quarter. I guess was that a significant benefit? And were you able to sell down some of that uniform inventory? And for back-to-school this year, are you planning inventories up?
Jane Elfers: Thanks, Susan. With respect to Easter dress up, it was at a historical low in Q1. Things like dresses, ties, hats, tights, those types of products, very, very low demand. We had bought it down and thank goodness we did because it was very difficult. What we did see in Q1 was a pretty significant boost back-to-school product as compared to Q1 2019. And within that product, you saw some of the elements that we also do double duty with on Easter. So you saw things like polos and woven bottoms and boys pick up. But they were for back-to-school versus for dressy. So I think that bodes well for back-to-school and what we’re anticipating in Q3. And then as far as inventory levels, we pretty – we talked about them extensively since last back-to-school. Our carryover inventory, as Rob mentioned, is down almost 50%. And we are still carrying a nice amount of the same basics we’ve had since last year. We anticipate that as we get towards the end of Q3, you’ll see our inventories normalize with a normalized back-to-school.
Operator: Ladies and gentlemen, we have time for one more question. Our final question comes from the line of [Technical Difficulty]
Unidentified Analyst: Good morning.
Jane Elfers: Okay, good morning. Well, thank you everyone.
Unidentified Analyst: Hello?
Jane Elfers: Morning, you there?
Unidentified Analyst: Hi, I am here. Yes, that’s good. I can hear you guys. Maybe the connection was bad. So I was said congrats, amazing quarter, and welcome back.
Jane Elfers: Thank you.
Unidentified Analyst: I just want to dovetail on the back-to-school. I know you have all the uniform basics packed and held, so to speak, but what about the ancillary products? You do a nice back-to-school backpack business and even shoes. I know you always have a good shoe business there. And if you can talk a little bit about your marketing efforts and plans for marketing in the back half? And will you increase costs just to increase marketing in the back half?
Jane Elfers: Yes. I think as far as back-to-school product is concerned, the uniform product is in pack and held. It’s on the floor, and it’s on the site. And so it’s available for mom whenever she needs it based on how schools were rolling with hybrid and remote learning models. So we’ve had that available to sell for the customer. Alongside of that, we’ve had a shoe assortment and a backpack assortment, which has also fared well in Q1 versus Q1 2019. When you think about the product that’s on the water and that’s coming for back-to-school, it’s more fashion and from a delivery point of view, we’re on track with that. The supply chain disruption is like a 2 to 4-week disruption that we’re seeing on the summer product, but for back-to-school so far, we’re looking good. Another element, big element of back-to-school is our graphic T program, which is also on time. So, all signs point to us being in a really good place with inventory for back-to-school. From a marketing point of view, certainly, we will be spending more money on marketing than we did last year because there wasn’t a back to school and marketing was pulled way back. So we anticipate being able to really go after, particularly on the digital side of the business as we’re now close to a 50% digital business. We will continue to support those acquisition retention, reactivation strategies throughout the back-to-school period.
Operator: And thank you for joining us today. If you have further questions, please call Investor Relations at 201-558-2400, extension 14500. You may now disconnect your lines and have a wonderful day.